Operator: Welcome to ITT Corporation’s first quarter 2009 earnings conference call. Hosting the call today from ITT headquarters is Steven Loranger, President and Chief Executive Officer. He is joined by Denise Ramos, Chief Financial Officer and additional speakers. Today’s call is being recorded and will be available for replay beginning at 1 p.m. EST. (Operator Instructions) It is now my pleasure to turn the floor over to Tom Scalera, Director of Investor Relations.
Thomas Scalera: Good morning and welcome to ITT’s first quarter 2009 investor review. Thank you for joining us on a very busy earnings release day. We do appreciate that this may be the third or fourth call for some of you this morning, and we appreciate your participation. Presenting this morning are Chairman and CEO Steve Loranger and Chief Financial Officer Denise Ramos. Today, Steve will highlight first quarter 2009 results and other important developments at ITT. Denise will provide a detailed review of the quarter’s performance and the 2009 earnings outlook. I’d like to highlight that this morning’s presentation, press release, and all non-GAAP financial measures provided during the call can be found on our web site at www.ITT.com/IR. Lastly, please note that any remarks we may make about future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provision. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in ITT’s Form 10K as well as our other public SEC filings. Now, let me turn things over to Steve.
Steven R. Loranger : Thank you to all of you for joining us on a busy earnings day and week. In this economy, we are very pleased with our first quarter performance and the underlying resiliency of our portfolio. Across all three of our segments, our business leaders saw their way through challenging market conditions and they never lost sight of our long-term strategic goals. I’d like to highlight several important events in 2009 that demonstrate the long-term strategic value of ITT’s unique portfolio. I’m going to talk about some nice examples of our focus in critical enduring markets such as water, security, and air transportation. Our ITT business in India was awarded its largest contract to date for $22 million to supply water pumps to India’s most expansive irrigation project. We’re all very proud to know that ITT pumps will help irrigate over 250,000 acres of farmland in an area known as the rice bowl of India. Our Night Vision business celebrated a milestone anniversary this quarter. For 50 years, Night Vision technology and advanced components and strong operating execution have made them a leader in this important field. Our Night Vision team is a trusted partner for the US military and allied militaries; a trust that’s been earned over decades of hard work, and as a world’s leader in optimal intensification, we’re all very excited about what this team can do over the next 50 years. At Electronic Systems, we commemorated our shipment of 10,000 CREW IED jammers, and during that event, Capt. Mark Kavanaugh, the US Navy Program Manager, commented to our dedicated team, and I’ll quote him, “It’s truly incredible what you’ve done, and it’ll live forever. There are people walking around that are here today because of the work that you all have done.” In 2009, we celebrated South Florida becoming the first region to adapt ADSB technology, and you recall, the ADSB is the GPS biz cornerstone of the FAA mandated next generation air traffic control system, and this system will increase safety and efficiency leading the growing needs of air transportation. ITT is the prime contractor on the initial development, deployment, and maintenance of the ADSB ground infrastructure, and I’m pleased that the ITT team has earned a 97% performance score for adhering to its schedule, and an above perfect score of 104% for being under budget. These are just a few examples of the many vital products and services that the ITT teams provide worldwide every day. Our portfolio is unique compared to our peers. It is focused on addressing enduring needs around the globe, and during these difficult economic times, this focus serves us well on a relative basis. I feel that our performance track record over the last several years speaks for itself. Simply stated, our strategy continues to work for us. Turning to slide 3, you’ll see some nice highlights in the first quarter that illuminate the underlying resiliency of our business. In the first quarter, we delivered earnings per share performance that was $0.14 per share better than the midpoint of our previous guidance. We generated solid operating performance in all three of our business units compared to expectations, and these results which I’m most proud of were enabled by the terrific progress our teams made while executing ambitious productivity, working capital, and restructuring plans. We made a nice strategic acquisition of Fluid Technology just after the quarter end that will leverage the power of ITT brand in key growing European markets and provide innovative energy efficient products for the Americans. What’s key to know about this Laing acquisition is that recent European regulation mandated high efficiency water circulators, and our new acquisition, Laing, has the technology in this area, which is a key addition for ITT. We generated $165 million in free cash, a 128% conversion of income that reflects our team’s continued focus on working capital, most notably receivables and inventory, and we continue to deliver solid defense results and orders that are nicely aligned with the future needs of our customers. We were very pleased to receive the $317 million CREW 2.1 jammer award, now slotted for multiple vehicle applications, which contributed to an attractive 15% order growth for the quarter. So coming off a great quarter as a start in this difficult environment, let me now turn to slide 4 and share our thoughts on the alignment with our largest defense customer, the Department of Defense. On April 6th, Secretary of Defense Robert Gates summarized his recommendation to the President concerning the 2010 budget. His recommendations contained three primary objectives. First, to reaffirm our nation’s commitment to take care of the all-voluntary force. Second, to rebalance the department’s program in order to institutionalize and enhance our capabilities to fight the wars that we’re in today, and third to reform how and what the Department of Defense buys. These basic principles and Secretary Gates’ program-specific decisions confirm exactly what we’ve been telling you for a long time. ITT’s defense business provides essential equipment and services that are well aligned with our customers’ top priorities. For years, our defense teams have been aggressively working this strategy, and our continued strong alignment with DOD priorities despite substantial changes in the White House and through various conflicts and threats continues to be a strong testimony to our performance. Here are a few of the specific opportunities we’ve identified in Secretary Gates’ recommendations. Our essential radio and night vision equipment will potentially see new opportunities related to expanded troop and special force levels. Our vital equipment is a core requirement in the successful execution against today’s asymmetrical threats. Additionally, we have international opportunities that have been identified with respect to new global partnerships to counter terrorism and improve stability. In the electronic warfare category, ITT has a leadership position that will benefit from continued F18 projection and the expansion of the F35 joint strike fighter as well as the Littoral Combat Ship programs. Also, ITT is the leader in providing ground counter IED solution that is aligned well with the emphasis on protecting our troops. Our electronic countermeasures protect not only the lives of men and women in harm’s way but they also protect our military’s valuable fleet of assets. You won’t find a more comprehensive suite of advanced technology countermeasures anywhere. We provide these protective devices in the air, on the ground, and at sea. The opportunities around our space, research, and intelligence platforms outweigh risks. The significant increase in cyberspace and intelligence surveillance and reconnaissance or ISR funding ties nicely with the core competencies of our products and services portfolio. In addition, a change in direction related to the military’s satellite needs will provide new opportunities for our space business, where we are a critical supplier of innovative remote sensing and navigation solutions to help customers visualize and understand critical events happening on earth, in the air, or in space. On the risk side, we did see adjustments made to certain programs, where we do have some content on both the impacted platform and the legacy platforms, and these were namely the F-22 Fighter, the CSAR Presidential Helicopter, and the DDG-1000 Navy Destroyer programs. We’re continuing to evaluate DOD’s strategy as it relates to insourcing jobs currently held by contractors, but at this point, we do not anticipate any material impacts. In summary, our position as a first-tier supplier insulates us from the major program cancellations and reshaping. We’re not a prime supplier of aircraft ships and vehicles, but rather we’re a provider of key equipment and technologies on these platforms, and we’ve always preferred to concentrate on mission critical core technologies applied to a broad platform based focus on the future military priorities. Finally, regarding Secretary Gates’ comment on supplemental funding, we see this as neutral to ITT. It’s always been true that the funding mechanism is clearly subordinate to the alignment of critical needs, and we have consistently reiterated that we provide essentially equipment and services that are a part of the DOD priorities. During this speech, Secretary Gates clearly echoed the same. He commented that he intends to use the FY2010 budget to provide an institutional home in the Defense Department for today’s war fighter, and we at ITT applaud his efforts. So in summary on this note, we believe that the latest communications on defense budgets are positive for ITT, and we’re pleased with the strategic positioning of our portfolio. With that introduction, let me turn things over to Denise for the detailed financial review.
Denise L. Ramos : Starting on slide 5, our first quarter results clearly demonstrate the stabilizing benefits of our defense business and the impact of the current economic environment on our fluid and motion flow control businesses. Total revenues declined 9%. When you exclude foreign exchange, organic revenue declined 5%. The organic performance included flat results at defense, a 6% decline at fluid, and an 18% decline at motion. The revenue results at fluid and motion were better than our internal expectations for the first quarter, while defense revenue was in line. Total organic orders in the first quarter improved 1% due to defense’s 15% gain that more than offset declines at fluid and motion and flow control. Segment operating income decreased to $261 million due to lower volumes and higher restructuring and pension expenses compared to the prior year, so as a result, segment margins declined 130 basis points to 10.2%. Our cost-based productivity actions were in line with expectations for the quarter, and that sets us up nicely to deliver on our full year productivity targets. First quarter when you exclude favorable special items declined 21% to $0.72 per share, and this performance was $0.14 better than the midpoint of our previous guidance. Approximately 9% of this improvement was due to strong revenue and operational performances across the segment, and the remaining $0.05 of the improvement was due to lower interest expenses. The interest reflected lower commercial paper borrowing levels and lower interest rates. Our financial position highlighted on slide 6 remains solid. We delivered another quarter of strong free cash flow generation. Excluding the $58 million of non-cash income associated with the tax special item, our free cash flow conversion of income from continuing operations was 128%. This free cash flow performance reflects good accounts receivable and inventory management that offset higher restructuring payments that were associated with our prior year actions. So we’re pleased with our working capital management actions in the quarter. Working capital as a percent of sales improved 190 basis points to 13.2%. Dedicated teams at all three segments continue to drive value based lean six sigma initiatives that generated inventory turn improvement. In the quarter, our net debt to net capital ratio declined 260 basis points. We’ve worked very aggressively since the EDO acquisition to delever our post-acquisition balance sheet, and as a result of this intense focus we’ve had on free cash flow generation and our very disciplined capital deployment strategies, we’ve successfully reduced its ratio down to 25.3%. In the quarter, we reduced our commercial paper borrowings by an additional $126 million. This brought our commercial paper balance to just under $1.5, and in addition, we do have over $900 million in cash on our balance sheet. In summary, when you pull it all together, we are off to a strong start in 2009 and will continue to focus on strong free cash flow generation and responsible capital deployment activities. Now, let’s discuss Fluid Technology which is on slide 7. In this difficult environment, our fluid team has exceeded challenging internal revenue, operating income, and operating cash flow targets. Fluid’s first quarter revenue declined 6% on an organic basis. Industrial process grew 1% in the quarter due to the delivery of 2008 orders. Results in the power market and in China were particularly strong. In total, the industrial process revenue performance was in line with Q1 expectations, and it reflected IP’s strong backlog visibility. Water and waste water declined 3% organically due to weaker de-watering and EMEA building trade activity that more than offset stable municipal markets. Results were mixed on a geographic basis, with weakness in Europe more than offsetting strength in the US, Asia, and the Middle East. In the quarter, revenue in the municipal markets exceeded our internal expectations. Residential and commercial water declined 13% on an organic basis. The North American residential markets declined at a faster pace in the quarter due to new construction weakness. In addition, the anticipated decline in global commercial markets impacted the quarter more significantly than initially expected. During the quarter Fluid’s emerging market was flat, despite a 49% increase in China. Total internal markets contracted 4%, while North American markets declined 10%. Fluid’s organic orders declined 7% in the first quarter. Stability in the municipal markets and large international industrial and treatment orders pulled water and waste water’s organic orders up 6% compared to the prior year. It should be noted, however, $37 million of these orders are for 2010 delivery. This performance partially offset weaker than anticipate organic order declines from 17% at both Industrial Process and Residential and Commercial Water. Operating margins declined 240 basis points to 9.2% due to lower volumes, mix, and higher restructuring and pension expenses more than offsetting favorable foreign exchange. Productivity initiatives at Fluid were on track with our full-year expectations. Now, let’s turn to slide 8 and look at the Fluid’s full year key market overview. The municipal markets served by our Water and Waste Water business are now expected to be flat with the prior year. This forecast reflects a slight improvement in market conditions since our prior forecast. The improvement was due to clarity around fiscal stimulus funding and the strength of the enduring demand for municipal water and waste water equipment. Conditions in the industrial markets turned significantly downward at the end of the first quarter. Spare parts are now expected to continue to decline due to lower customer facility utilization in certain key end markets. Large project activity is also expected to slow as customers delay programs and projects in certain key end markets facing excess capacity. Entering the year, we did anticipate delays and cancellations of projects already in backlog. However, these delays and cancellations were more pronounced in March than initially anticipated. At our residential and commercial water business, the long anticipated downturn in the commercial construction market finally became evident in the first quarter. The decline was more pronounced than initially anticipated. Residential markets are also declining at a faster pace due to weakness in construction activity in the Americas. Solid emerging market sales and order activity in the first quarter suggest that no change is currently needed to our previous emerging market forecast. So in total, our revised full year guidance now forecasts fluid organic revenue to decline in the 13% range versus the prior year. Second quarter organic revenue is expected to improved modestly compared to the first quarter due to strength at water and waste water and seasonality at residential and commercial water. Industrial process is expected to be flat with the first quarter on the continued delivery of 2008 projects. Moving onto Motion and Flow Control on slide 9, first quarter revenues declined 18% organically. This performance was better than our internal expectations, and that was due to stronger performance in aerospace and defense markets that more than offset the disappointing automotive and general industrial markets. Motion technologies declined 17% on an organic basis due to OEM customer production shutdown. In the aftermarket, there were slight signs of improvement in March. Interconnect solutions declined 21% organically due to weakness in global industrial markets, and flow control declined 24% on an organic basis due to the continued shutdown of OEM production in the marine market. Global industrial weakness also contributed to the decline. Organic orders in the quarter fell 26% on weakness across all markets. Continued destocking in the automotive industry combined with the new shorter cycle order pattern resulted in a 33% decline in motion technology orders. Orders at Interconnect Solutions fell 26% on global industrial contraction. Segment operating margins declined to 9.1% due to lower volume, higher pension, and negative foreign exchange. Now let’s turn to slide 10, where we provided our latest full-year key market overview for motion and flow control. Additional pressure in the aerospace market is expected to be offset by strength in the defense market resulting in no change to our prior expectations. However, declines in the automotive and general industrial markets are now forecasted to be down more significantly than in our prior forecast. Lower than anticipated first quarter order activity supported our downward revisions. So in total, the revised full year motion and flow organic revenue is projected to decline in the 20% range compared to the prior year. Second quarter organic revenue is expected to be down slightly compared to the first quarter due to continued pressure in key markets. Our defense results for the quarter are provided on slide 11. Flat revenues compared to the prior year were in line with our internal expectations. In the quarter, electronic systems improved 12% compared to the prior year. That was mainly due to increased radar shipments to Brazil and the US Navy and the higher shipments of the CREW 2.1 counter IED jammers. In the quarter, we received a $317 million CREW 3.1 order that expanded our markets onto various armored vehicles and other military transport utilized by the US Marine Corps. With this order, our jammers will now protect men and women from all four branches of the DOD. Space improved 13% compared to the prior year on strong GPS and classified payload shipments. We believe that our space business is well positioned with the new administration’s priorities around sensing and surveillance. Communication systems declined 19% due to higher prior year non-recurring shipments that included a satellite system and other system networking products. In the quarter, higher domestic business was partially offset by lower international shipments. Our first quarter backlog remained flat at $5.2 billion, and when you look at our product backlog and compare it to the fourth quarter, it increased $200 million to $3.9 billion due to strong order activity at electronic systems, night vision, and space. So in the quarter, night vision received a $121 million order that adds to an already impressive 2-year domestic backlog total. The new CREW 2.1 jammer order at electronic systems extends its vital product backlog into 2010. A $100 million electronic warfare order from Turkey also added nicely to Electronic Systems’ strong backlog. In Space, orders improved on GPS and classified payload activities. The strong first quarter operating margins at 10.9% were 80 basis points better than the prior year, and that was due to net cross productivity and mix that more than offset unfavorable pensions. Now, let’s turn to our 2009 guidance, which is on slide 12. We’re adjusting our 2009 EPS guidance to reflect the strong $0.14 first quarter performance and our revised volume and mix expectations for Fluid and Motion Flow Control. We are no longer assuming a meaningful second half recovery for our non-defense businesses. In addition, our revised 2009 forecast reflects unfavorable mix compared to prior expectations. The midpoint of the 2009 outlook before additional actions is now $3.50, representing a 13% decline compared to the prior year. We are also projecting incremental restructuring actions at Fluid and Motion Flow Control and incremental charges associated with recent acquisition activity. In total, these actions reduce our EPS guidance by another $0.10 to $3.40 per share, at the midpoint. Now, let’s turn to a more detailed 2009 outlook which is on slide 13. For the second quarter, we are expecting revenues in the $2.65 billion range, representing an 8% organic revenue decline compared to the prior year. We expect EPS to be in the $0.75 to $0.85 range. Second quarter organic revenue of Fluid and Defense is expected to improve low to mid single digits compared to the first quarter, and Motion’s organic revenue is expected to decline slightly compared to the first quarter. Second quarter Defense income is expected to improve compared to the first quarter on higher product sales and stronger margin performance. However, compared to 2008, we are expecting defense income to be down due to the strong prior year CREW results. On a full-year basis, defense is maintaining its 2009 organic revenue growth target of 5%. The revised ITT organic revenue forecast of down 4% also reflects the previously discussed adjustment at Fluid and Motion. Despite the lower revenue, our new EPS guidance midpoint of $3.40 reflects our continuing commitment to delivering on our challenging productivity targets. So with that 2009 review, let me turn things back over to Tom who is going to begin the Q&A session. With that, let me turn it back over to Tom and we’ll be happy to take any questions.
Thomas Scalera: We’re ready now to start the Q&A.
Operator: (Operator Instructions). Our first question is coming from John Inch - Merrill Lynch.
John Inch - Merrill Lynch: Question firstly on Defense; I think you said you are maintaining your guidance. Do you still expect the second half to improve as you had talked about before and could you remind us a little bit of the dynamics that go into that outlook?
Denise L. Ramos: In terms of Defense we are expecting it to improve and when we look at every quarter we will expect on the top line that we will see improvement basically every quarter, and the reason for that is that a lot of it is just the timing associated with various programs for Defense, and then also we do expect some international orders that will take place or international shipments in Q3 and Q4.
John Inch - Merrill Lynch: Those are pretty much locked down; the international shipments?
Steven R. Loranger: They’re almost all locked down John, but I would say between the combination of our domestic and international anticipation, we feel good about firming our guidance for the year on Defense.
John Inch - Merrill Lynch: I think also earlier in your prepared comments you talked about unfavorable mix; I think you said in Fluid and/or Motion Flow. Can you talk a little bit about what that is; what product areas you are experiencing unfavorable mix or maybe did I misinterpret what you were saying.
Denise L. Ramos: No, you were correct. It’s really happening in a couple of areas. A portion of it has to do with aftermarket; lower after market activity in both markets where we play in such as industrial and commercial where we see lower usage of factories and buildings and things like that; so that will naturally flow into the after market. The other thing that we’ve been seeing is that we’ve had some mix of products; some higher margin and some lower margin, that’s just getting impacted in the equation.
John Inch - Merrill Lynch: So is it that customers are trading down or is it that you’re cutting price; I am trying to infer what your comments are suggesting?
Steven R. Loranger: No more than the fact that based on our traditional OEM after market mix particularly in fluid technology we’re seeing less product usage which drives the higher-margin aftermarket. It’s that simple John. As an example, let’s take pulp and paper, International Paper is running a number of their plants at reduced capacity. They are a large customer. They’re just simply wearing and tearing our products at a lower rate and that is flowing through less of our traditional normal aftermarket.
John Inch - Merrill Lynch: Okay, and that presumably is just industrial, it wouldn’t have much to do with municipal water/waste water or anything like that?
Denise L. Ramos: That’s correct John, it’s mainly in those markets.
Steven R. Loranger: Yes, primarily and that’s why our waste water component is holding up a little bit better than everything else on a relative basis simply because despite the economic condition, water treatment and of course waste water management must go on.
John Inch - Merrill Lynch: You guys have done such a fantastic job in Defense with these order wins and products; I think what’s really concerning so many folks is really the outlook for the supplemental. You guys have about $1.4 billion or $1.5 billion tied to the supplemental heavily related to the Army; why isn’t that at risk as the new administration looks for ways to save in the out years?
Steven R. Loranger: The way we look at it John is the supplemental budget as Secretary Gates outlined is a funding mechanism that enabled greater flexibility in terms of funding, but it didn’t have anything to do with the requirement of your products. So in that our products are required as they are used in conflict and as we are increasing the number of troops as we are migrating from Iraq and Afghanistan and refreshing some of the troops supply. The transition from the supplemental funding requirement to now putting that into the base budget is essential neutral to us. So, think about our products more in the sense of what the requirement is rather than what budget element is actually funding it. I think I would add to that as an example we have over 2 years backlog in night vision. We have got backlog now as Denise mentioned well into 2010 on our growing CREW 2.1 program and we’ve got solid visibility in communications systems with our domestic and our international programs for maybe as well into 2010. Again, think about the usage of our products, think more about the number of troops and how they’re being used; that’s the way to think about it.
Operator: Your next question comes from the line of Shannon O’Callaghan - Barclays Capital.
Shannon O’Callaghan - Barclays Capital: On Fluid, can you just give a little more quarterly clarity on how you end up at 13% organic decline from the first quarter and what drives that?
Denise L. Ramos: You are talking about the second quarter Shannon versus the first quarter?
Shannon O’Callaghan - Barclays Capital: Yes, just how it was. The first quarter was down 6% right; so how do we go from here to get that down to 13% for the year?
Denise L. Ramos: When you look at it sequentially and when you look at Q1 to Q2, my revenues in Fluid were actually expecting to be higher in Q2 when versus Q1, and the reason for that is because there is some seasonality associated with RPW and then also we had some strong backlog coming into the year. When you look at it your 13% is on a year-over-year basis, and so last year the second quarter was a very strong quarter for us and it improved significantly from where we were in the first quarter. So when you look at it on a year-over-year basis, that’s why we are negative 13% versus negative 6% in Q1.
Shannon O’Callaghan - Barclays Capital: So Q2 works out to be what year over year organically?
Denise L. Ramos: Q2 for Fluid organically is up roughly 4% to 5%.
Shannon O’Callaghan - Barclays Capital: I mean year over year?
Denise L. Ramos: Year over year we are down about 13% in Q2 and we’re down 6% in Q1.
Shannon O’Callaghan - Barclays Capital: How about stimulus were further down the pipeline there in terms of people starting to hear some more specifics; how are you guys thinking about that in terms of what there might be and timing of when you might see something?
Steven R. Loranger: Shannon, thanks for some very fine work with Collins, Sable, and Gretchen and your team. We were positively pleased with the quantity of money that was put into the US stimulus budget. We’ve been tracking that money; in fact Gretchen is in Washington D.C. today looking through some of the Biomerica clauses with the EPA, but we’re tracking that money. We know where it is, we know the projects it’s been allocated to the state, but of this kind as you all know, not only are waste water infrastructure projects, but almost all of the stimulus is quite subject to a great deal of government oversight and management, and we are not anticipating a shovel hitting the dirt on any one of our projects until at best the end of this year. So, I think the way to say this is that we are not anticipating any positive this year. It slowed down in the governmental processes, but ultimately we believe there will be some positive component with respect to our products.
Shannon O’Callaghan - Barclays Capital: One last one; treatment seems to be doing well here. How do you feel about that piece of the business in terms of the changes you made to it in an effort to lower the cost base; how is treatment competitively positioned at this point?
Steven R. Loranger: A couple of components there. As you know we did integrate that with our Flygt in our water/waste water businesses and remember that our historical footprint with respect to our Flygt water/waste water is we have the largest global distribution and selling footprint in the water/waste water business. I have recently made a number of visits throughout Europe, United States, and even Australia where I’ve seen some very, very nice sales increases as a result of having a broader fluid technology approach to be selling treatment. So we’re very positive clearly. We also have had some new product development. We got some new Ozone generators, we’ve got some new efficient filtration systems, we got some new energy-efficient light bulbs for ultraviolet and these things are helping overall. So as the water scarcity issue and the need for reuse and in some cases desalination continues to improve, we believe that our treatment business is well positioned.
Operator: Your next question comes from the line of John Baliotti - FTN Equity Management.
John Baliotti - FTN Equity Capital: Steve, could you give us an idea, you talked about the trends in the first quarter kind of how and toward the end of the quarter some trends got worse. On a weighted basis, I guess if you kind of look at the whole portfolio and the size of each business, how did the beginning of the next quarter look from that standpoint for the start?
Steven R. Loranger: The very beginning of the next quarter, we’re talking the second quarter on average was pretty close to our expectation. We did see in automotive, in industrial revenue to commercial slightly lower orders and that was probably offset with a bunch of puts and takes overall.
John Baliotti - FTN Equity Capital: I mean, and despite some of the negative trends, you guys seem to have exceeded expectations with defense kind of doing what you expected. So it seems like the delta in the quarter came from Fluid and MoFlow combined. And, I’m just wondering how much of your new outlook for this year assumes that, those trends are in those some of those more cyclical businesses continue to go down versus some of the stability you’ve seen?
Steven R. Loranger: I think we are not; we are also not forecasting any significant quarter-over-quarter deterioration in any of these businesses with the possible exception of industrial where we’ve seen some accelerated order reduction. But essentially, the way to think about our forecast is that as we have interacted with customers around the world, we are not seeing subjective changes, which is the answer. In other words, we’re seeing continued uncertainty and caution by our customers. They still feel that the long-term projects be it mining, industrial, there is fresh water, whether it’s automotive, aerospace are still reasonably on track but they are being cautious in terms of advancing their projects and their initiatives. So what we’re really saying, John, is the absence of tangible good news and just as continued sort of uncertainty gives us the expectations that the economic inertia that we’ve seen in the first half, first quarter and second quarter essentially is what we’re going to see in the second half, and that’s why we are calling it flat.
John Baliotti - FTN Equity Capital: You and Denise cited a couple cases where there were delays in projects rendering cancellations. If it’s a delay, then can we look at it as demand that should come, just said and prudently that you’re not expecting anything for stimulus till the end of this year best, but does that set you up nicely for next year, in terms of, there is a confidence, if those projects are going to come through just kind of push that into 2010?
Steven R. Loranger: I think the overall credit market liquidity and global consumer confidence will really drive that and our expectation is that this is not just a slow bucket that will be restated as an extraordinary upside in the future. We believe I think which is consistent with load second on the forecast that any recovery that we’ve seen in 2010 and beyond will be a fairly measured and slow recovery. And so, we’re looking at these project delays, there is a lot of uncertainty with respect to the customers’ perception. We do believe the projects will go on. There is vital mining, oil and gas exploration, energy efficiency kind of projects that we know that are being held up all over the globe. They will go on, but I don’t think; I would not encourage you thinking about this is just essentially a displacement to an upside in 2010. A long slow recovery is what we’re forecasting.
Operator: Your next question comes from Jeff Sprague with Citi Investment.
Jeffrey Sprague - Citi Investment: I was wondering if we could delve a little bit further into just what's going on, on the cancellations on the industrial side, Steve or Denise. Have you moved from deferrals to outright cancellations, are these projects still moving around, is there just anything about the complexion of how that’s playing out that you could add?
Steven R. Loranger: I would say, it’s more deferrals than uncertain. Let me quote the kind of input. I just met with the project manager at Chevron who was advancing a very important liquid natural gas development in Northern Australia. And this is what he said, he said, “our project is still on track. We still need the natural gas here as well as in China. But we’re thinking about slowing it down because we’re not sure what the capital markets are going to do so we’re going ahead and ordering the goods but we’re telling you to be cautious because we may not need them when we’re ordering them. So be prepared for us to change our minds.” And I only state that to give you a very clear feel for the level of uncertainty and caution that our customers are executing. Essentially, that’s just an example of someone saying, “the project is fundamentally sound.” It’s funded in this case inside of our capital budget but they are being cautious in terms of advancing the project and thereby we’re just seeing in the aggregate a lot of delay and slow in our forecast.
Jeffrey Sprague - Citi Investment: As part of that axis, you’re seeing re-bidding and new pricing and some downward price pressure?
Steven R. Loranger: We are actually seeing in terms of our request for proposal code activity is still very strong. At the working level, our customers are still continuing to plan for in detail these projects. I wouldn’t say that we’re seeing any widespread actual price pressure now but we’re certainly bracing forward and our teams are doing the best job they can to be selling system valve.
Jeffrey Sprague - Citi Investment: And secondly, on pension, can you give us any early read on what you’re thinking for pension headwind. You put out the assumption that you won’t do the asset returns and flat discount rates but some way refrain how to think about 2010?
Denise L. Ramos: Yeah, it’s a good question. It’s one that’s difficult for us to answer because our pension calculation is more complex that you might see, also because we have a huge defense reimbursement part associated with that. So it’s really hard to quantify. It will be a headwind for us, we know that, but right now it’s just really too early to call because of all the complexity that we get into when we have to figure out what that calculation should be.
Operator: Your next question comes from the line of Michael Schneider - Robert W. Baird & Co.
Michael Schneider - Robert W. Baird & Co.: Maybe we can just circle back your municipal and the fact that you’ve raised your forecast there. I understand that 2010 is going to benefit from a lot of the stimulus activity and some of the newer products that are treatment, but why is it specifically you’ve raised your 2009 forecast for municipal and then if you could just address that by geography as well?
Denise L. Ramos: When we first put together the forecast for municipal; that was back last year when we were looking at what was happening on the municipal side, and there was funding issues that the municipalities were having and there was the fiscal stimulus that was not in place. Even though we’re not forecasting a lot of fiscal stimulus in ’09, but that was a timeframe within which we’re reporting together our forecast. Since then, what we’ve seen from a municipality standpoint is there has been more clarity around fiscal stimulus. There has also been sort of a freeing up a little bit in the credit markets from where it was back in November and December. And, municipalities, there is just an ongoing need to continue to upgrade with the products because you’ve got an aging infrastructure and you have other things there. So, there was a period of time when we were pulling together our forecast and we were uncertain how the economic situation and the credit situation is going to be impacting those municipal markets. Since then, what we’ve seen with the fiscal stimulus providing some clarity to the municipalities and then also looking at the credit market, we’ve seen some improvement from our prior expectation. So, we feel good about that and we think that’s why we’re forecasting that we’re going to be roughly flat. The other thing that Steve was talking about with our treatment business, and we see that the treatment business is a little bit stronger than what we had anticipated. So, that’s really why we’ve re-forecasted municipal and we’ve improved it from the last guidance call.
Michael Schneider - Robert W. Baird & Co.: And have you actually see municipal; new municipal orders coming out as of late or quotes that were shelved for a time being brought back to market?
Denise L. Ramos: Yes, we are, that’s because they were delayed until there was more clarity around these other issues, and so, yes, we are seeing that. In fact, on the municipal side, we had an order in Q1 that was roughly $35 million to $40 million that’s related to things like that, but it’s going to be for 2010 delivery.
Michael Schneider - Robert W. Baird & Co.: And then as it relates to the stimulus projects, you did reference to Biomerica clauses in there, I suspect your treatment businesses, Sanitaire and Wedeco are well positioned because they’ve got US manufacturing, but how does Flygt participate in this given its European manufacturing base and is that a risk that you do get excluded from some of these major projects because of the manufacturing footprint?
Steven R. Loranger: There’s a lot of variation in the interpretation of Biomerica, and as you know, we have some very large-scale pulp manufacturing capabilities in the United States. So, the question is relevant, and in fact, that is why Gretchen is in Washington D.C. today, working out the details on Biomerica and specifically with respect to our Flygt projects; and you are correct that most of our treatment is already US and most of our other small scale water pumping capability is in the United States. Remember that we also have a strong line in our grooves, industrial, and water businesses; I mean, that’s all USA.
Michael Schneider - Robert W. Baird & Co.: Are you able to manufacture those Flygt pumps in the Seneca Falls plant?
Steven R. Loranger: We’re actively looking at strategies exactly like that right now; yes we are, and we just want to affirm with the EPA that as we’re contemplating US manufacture and US content on those pumps that we get free agreement in terms of qualification of the new Biomerica. I’m confident that Gretchen and her team will get to the right solution here. We are not forecasting any ultimate variable; we want to make sure we get this work through the EPA correctly right upfront.
Operator: Your next question comes from the line of Stephen Tusa - J.P. Morgan.
Stephen Tusa - J.P. Morgan: Just a question on the mix of business in Fluid; there seems to be a little bit of a bifurcation here with the industry now kind of rolling down a little bit; is there any business within Fluid that is particularly more profitable than any other business?
Steven R. Loranger: Well, clearly our aftermarket businesses tend to be more profitable, and then actually Stephen, you just have to stratify it down into by channel by product; I wouldn’t comment on any unique product lines that are more profitable than others at this point in time; what we really watch is that OEM need versus aftermarket mix.
Stephen Tusa - J.P. Morgan: I’m not sure if somebody already asked this question, but on the acquisition front, can you just give us an update of what you’re seeing out there. You did a small one here recently, but how is the tone out there from an acquisition standpoint?
Steven R. Loranger: We have a very active pipeline and we are obviously watching asset valuations. We are starting to see a separation in the marketplace between the stronger, which we put ourselves in that category, and some of those that are enduring less or having less success with respect to their portfolios. It’s a little too early to trend it in our mind, but let me say that we believe that acquisition opportunities will certainly be in front of us in terms of actually growing over the next year or so timeframe, which is more of the reason why we have been so focused on our liquidity and our balance sheet.
Operator: Your final question comes from the line of Gautam Khanna - Cowen & Co.
Gautam Khanna - Cowen & Co.: A couple of question from the Defense portfolio; you mentioned CREW funded through some part of ’10, could you tell us what your expectations are in terms of unit deliveries this year and how that pace may change through the course of the year?
Steven R. Loranger: We’re expecting somewhere in the order of 7000 CREW 2.1 deliveries this year, and our expectation is we would see similar type production in the out years. What we have to recognize is that this CREW 2.1 Jammer is the most effective technology we have today against the highest threat to the lives of our women and men in service. It’s been very successful in use and we also have the capability of modifying the 2.1 system to adapt to future threats such as what we’re seeing in Afghanistan. So we’ve got a modular and scalable component that is addressing the needs in a very efficient way, and this last award that Denise referred to now being expanded to many other vehicle application and essentially all four services gives us great confidence that we’ve got a sound platform for the future. Now, as you know, we don’t have ordered backlog beyond the middle of 2010 or so, but that’s normal in this case, and all I am saying is that when we look at the strategic positioning of our technology vis-à-vis competition and you look at their need for technology vis-à-vis the global war on terror, we feel like we’re solidly positioned for the future.
Gautam Khanna - Cowen & Co.: Just to follow up on that with respect to SINCGARS, the supplemental had declined year over year; I think you were expecting that, but how should we think about that business this year and the next year and how okay through the year; are we going to see sequential decline in the SINCGARS line item or how should we think about it?
Steven R. Loranger: I think the way to think about it is we really have a mix shift going on now. We have a minor reduction in our domestic SINCGARS; that’s down in the 10% range, and that was previously communicated, but our international SINCGARS is up nicely. In fact it’s up in the $130 million range, a 50% improvement. What has happened on the domestic SINCGARS is that compared to our view about less than a year ago, our view today is that our domestic SINCGARS platform has gotten a lot stronger than what we thought. We feel much better about it, and this is really a recognition of several things. While the domestic need is maturing, we also have backed up capability of the installed base with upgrades and retrofitted; some particularly nice new technology we’ve not talked and in software capability and in additional communication security capability. The number of troops is increasing. Secretary Gates has announced now as you know 45 Brigade Combat Teams; that’s a plus for SINCGARS. As you know we are migrating from Iraq to Afghanistan and going through a variety of refresh activities per what Secretary Gates said, that’s a plus, and as you all know the JTRS Program which is tied to the Future Combat System has the potential for delay and that coupled with our growing international gives us really solid confidence on our SINCGARS and our communication business. So between these domestic opportunities and these mix shifts I mentioned and these recompetes in the international order opportunity, we feel very confident on our communication base.
Gautam Khanna - Cowen & Co.: If I just may ask one last one; there is some discussion now of the Congress puffing up the supplemental request by $10 billion to $12 billion before it passes at the end of May. Is there any opportunity for your supplemental funded products in that $10 billion to $12 billion that might be added; do you guys have a read on that yet?
Steven R. Loranger: I’ll go back and answer the same thing just as when Jeff Sprague asked; I can’t remember whether it was Jeff or John asked, when the supplemental goes away, why that’s not impacting our business; remember I said our business is tied to be an essential requirement for our product. So again, just because the supplemental was pumped up an extra $10 billion or $20 billion, it doesn’t really create a different need for our products. The government is going to buy our products because they need them regardless of the funding mechanism. So at this point in time we don’t see supplemental regardless of what level it’s funded at as something that is really changing the requirements of our products. Thank you all. I will take this moment to just offer my final thoughts and as we head up in this busy day, but we couldn’t be more pleased with the efforts of all of our teams across ITT. They’re working hard to address these challenging market conditions. When this economic crisis began, Denise and I encouraged all of our management team to focus to control what they could control and make sure that their actions preserve and protect the long-term future and the strategies of our portfolio. So to that end as we are managing through this economic downturn we are going to continue to put our customers first. We are going to deliver essential products and services that address their current needs. We are going to relentlessly pursue cost control measures that are responsive to the declining volumes. As Denise mentioned we have substantial and aggressive productivity in our plans. We’re restructuring, repositioning some discretionary budget reduction, but with our strategic planning and prioritization process, I am pleased to say that we are preserving most of our long-term investment and make sure that we are well positioned out of this downturn. As in the past we are going to continue to focus on cash, working capital, inventory, and preserving our balance sheet. So all these actions together are what’s giving us an underlying confidence in the execution of our portfolio and I guess I can close out by saying what I’ve been saying to our employees, a phrase I’ve used a lot recently, “I’m convinced that ITT’s best days are ahead of us.” So with that, thank you very much for your questions, your participation, and we’ll talk to you again next quarter.
Operator: This concludes today’s teleconference. Please disconnect your lines at this time and have a wonderful day.